Operator: Ladies and gentlemen, hello and welcome to Bladex's Fourth Quarter 2020 Conference Call on this 12th day of February 2021. This call is being recorded and is for investors and analysts only. If you are a member of the media, you are invited to listen-only. Bladex has prepared a PowerPoint presentation to accompany their discussion. It is available through the webcast and on the Bank's corporate website at www.bladex.com. Joining us today are Mr. Jorge Salas, Chief Executive Officer; and Ms. Ana Graciela de Mendez, Chief Financial Officer. Their comments will be based on their earnings release, which was issued earlier today and is available on the corporate website. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995 and Section 21E of the Securities Exchange Act of 1934.
Jorge Salas: Thank you, David. And good morning to everyone joining us today to discuss our fourth quarter results. Today, I am here once again with our CFO, Ana Mendez and a few members of the executive team. This morning, I'll be talking about our balance sheet management during the quarter, and an overview for the whole year. And then Ana will discuss the P&L implications of it. After Ana's comments, I will make some closing remarks and then as customary I will open it up for questions. So there's no doubt that Latin America was one of the most impacted regions in 2020. The world's GDP decreased by 3.5% compared to that of Latin America that decrease more than twice as much 7.4%. Moreover, a different dynamic evolve GDP contraction estimate for the last year were constantly revised and varied drastically in most countries. I'd like to highlight once again, what I have been noting in previous quarters. And that is the importance of our business model in the current context. Having the ability to diversify our portfolio in more than 20 countries, lending exclusively to top notch customers, tuning banks, and above all, having primarily a short term portfolio and it will continue to be in 2021 a significant comparative advantage in this continuously changing environment. Why? Simply because it allows us to diligently manage our exposure towards defensive sectors in the different countries as their outlook changes, as it did during the last three quarters. Let me now talk about what happened during the fourth floor on both sides of the balance sheet. Beginning with the asset side and moving to slide 3. We grew our commercial portfolio by 9% with respect to the previous quarter, reaching $5.6 billion by the end of the year. Growth was mostly short-term lending, and focused on defensive sectors and countries. I would address this topic in more detail further on in the presentation. 
Ana Mendez: Thank you, Jorge, and good morning to all. So let's continue on to slide 10 around slide where you can see the evolution of our P&L recording a profit for the fourth quarter 2020 of $15.7 million, up 2% from the preceding quarters on relatively stable revenue and loan provisions for credit losses reflecting high quality origination during the quarter, as well as the ongoing collection rate of loan activities of close to 100%. As Jorge mentioned, including the continued reduction in high-risk countries and sectors. These were partly offset by a generally seasonal increase in quarterly expenses of 22% quarter-on-quarter.
Jorge Salas: Thank you, Ana. I truly believe that given the circumstances, this has been a very good year for Bladex. I'm very proud of the Bladex team that has managed to disperse over $6 billion since the pandemic started and collected virtually all maturities in time, throughout the year. We have acted swiftly taking advantage of the levers of our business model to protect the quality of our assets and making the best of the current low rate environment on the liability side. We find ourselves well prepared to navigate 2021. As I mentioned at the beginning, Latin America has been one of the most impacted regions in the world. Several countries applied very stringent lockdown measures from the onset of the pandemic that are still causing severe damage to their economy and unfortunately, have not yielded the expected results with respect to the slowing the spread of the virus.  Public policies in most countries continue to be erratic in a region that in general has limited fiscal room inside our public health system. Having said that we estimate that the region will grow between 4% and 4.5% in 2021, mostly in the second half of the year. And we'll reach pre pandemic levels of GDP by the end of 2023. We are seeing some positive signs. Consumer Confidence indicators are generally improving. And then the increase in commodity prices, external liquidity and the distribution of the vaccines, although it may take some time, this should also contribute to faster growth. The different countries however, have their own set of challenges. So the speed of recovery will vary largely by country. In any case, we at Bladex will continue to work closely with our clients to whom we have offered continued support through the crisis and who have shown financial resilience during the unprecedented circumstance. Those are our comments for today. Now I will open it up for questions.
Operator:  Our first question comes from 
UnidentifiedAnalyst: Yes, sir. I've owned the stock for much of the last 12 years or so and I'm curious if you could you sort of evaluate how you feel the bank has done over that period of time, and what your goals are going forward. I have been very impressed with your ability to minimize loan losses. But just wondered what you hope to do in a more positive way.
JorgeSalas: How do we see growth going forward?
UnidentifiedAnalyst: Yes.
JorgeSalas: Okay, so let me -- so we are seeing increased demand as the economy is reopen, especially in the resilient sectors, oil and gas, utilities, food and beverage. We've also started to see some of our clients working on their strategic plans to either expand organically or inorganically or acquire some other company.  Our clients turn to us to provide financial solutions. So we're seeing some traction there. We're also seeing company and financial institutions trying to improve their funding structure in this context, and in the debt maturity profile. So we are exploring those medium term facilities as well, through a combination of the right structure and the right price. I cannot give you specific guidance and size. But I can tell you that our commercial portfolio has grew 13% in the second half of the year, and we continue to see more moderate growth going forward. I don't know if that answers your question, we will not sacrifice credit quality for growth.
UnidentifiedAnalyst: Okay, I understand. So I recall, I think it was the first or second quarter that you've mentioned that your loan spreads have widened appreciably. And do you see any positive trends in terms of loan spreads now?
AnaMendez: Yes, we're seeing that definitely. And we saw that show that in the graph, we, in the last quarter, we started to see a more normalized level of spreads close to what we used to have before COVID. And that also has to do with the fact that we are obviously working with the top notch, the top tier of the pyramid in terms of price quality clients, which are particularly very liquid in general and highly offered, highly targeted of lending. So we put it in short, we did start to see a reversion of the spreads that we were able to charge at the beginning of the crisis. 
Operator: Mr. Wiggins with Fronius Partners has a follow up.
UnidentifiedAnalyst: Sorry, I didn't mean to take up too much time. I wasn't sure if there were any other questions. But I just wanted, when you started, you didn't really get, you came into during a very difficult time. And I don't recall you ever articulating any longer term goals for your tenure to bank, I just wonder if you had any sort of longer term goals? The bank's assets are still about the same as they were 10 years ago. Is there a target with respect to equity assets that you hope to reach or anything of a quantitative nature that you hope to get to over your -- over the next some odd years?
AnaMendez: So you're asking about our vision of long-term returns for the bank? Right?
UnidentifiedAnalyst: Yes, I just I mean you've done a great job of managing through this difficult period, I'm just sort of trying to get a sense of what you're trying to accomplish beyond that.
JorgeSalas: First, we have to go through the crisis, right? I mean, this bank has had, I mean we are at the lowest loan portfolio in the last decade. And but this portfolio has been close to $8 billion in the past and back then it was 2015 returns were double digit. So, and that was basically doing exactly the same thing that the bank is doing now. Just at a bigger scale, we are now working on several initiatives that I cannot share, for obvious reasons, but part of it is just taking advantage of this time to work on internal processes, and making sure that our digital capabilities are there, where when we can roll the bank back in a different environment, and make sure that we can have the economies of scale to do that, operationally, that's what I can share from it. We do have a very solid client base and we have a lot of space. We have very limited share of wallet with our clients. So just cross selling more products to our client base will be an important source of new income.
Operator: At this time, we have no other questioners in the queue. So I'll turn it back to our speakers for closing comments.
Jorge Salas: So if there are no further questions I would like to thank everybody and please stay safe. Thank you.
Operator: Thank you, ladies and gentlemen. That concludes this morning's presentation. You may disconnect your phone lines. And thank you for joining us today.